Operator: Ladies and gentlemen, thank you for standing by. And welcome to International Paper’s Fourth Quarter and Full Year 2016 Earnings Conference Call. At this time, all lines have been placed on a listen-only mode. And we will open up for your questions after today’s prepared remarks. It is now my pleasure to turn the call over to Vice President of Investor Relations, Jay Royalty to begin. Please go ahead, sir.
Jay Royalty: Thanks, Maria, and good morning everyone. And thank you for joining International Paper’s fourth quarter and full year 2016 earnings conference call. Our key speakers this morning are Mark Sutton, Chairman and Chief Executive Officer; and Glenn Landau, Senior Vice President, Finance and Incoming Chief Financial Officer. During this call, we will make forward-looking statements that are subject to risks and uncertainties which are outlined on Slide 2 of our presentation. We will also present certain non-U.S. GAAP financial information. A reconciliation of those figures to U.S. GAAP financial measures is available on our website. Our website also contains copies of the fourth quarter and full year 2016 earnings press release and today’s presentation slides. Lastly, relative to the Ilim JV, Slide 4 provides context around the joint venture’s financial information and statistical measures. With that, I’ll now turn the call over to Mark Sutton.
Mark Sutton: Thanks, Jay, and good morning, everyone. Thank you for joining us this morning four our call. Before I get into the slides, I wanted to acknowledge that while, as Jay mentioned, Glenn is joining me to review our results and outlook this morning. Carol is also here with us, in the room along with other members of the senior leadership team at International Paper. So, I’m on Slide 5, make some opening comments. Before we go through the quarter and full year results, I wanted to make a couple of comments about the incident we had at the Pensacola Mill last week. And first and foremost, we are very thankful that no one was injured in this incident. Our priority is on the health and safety of our colleagues, contractors that work with us and the residence of the community. We’re doing everything we can to help restore the surrounding community and get things back in normal as quickly as possible. I’d like to thank everyone involved for their extraordinary efforts and commitment over the past couple of weeks. Glenn will provide more details later on the call for his impact and our outlook for Pensacola. So, as we go back to the content of Slide 5, International Paper delivered another year of strong performance with free cash flow of $1.9 billion and return on invested capital of about 10%, nicely exceeding our cost of capital. We made substantial progress on many fronts. Further strengthening our North American Industrial Packaging business, we completed the acquisition of the Weyerhaeuser pulp business in December, which we have combined with IP’s legacy pulp business to form our new Global Cellulose Fibers business. We converted a machine at the Riegelwood mill from Coated Paperboard capability to fluff pulp, which gives us the capacity to grow both plus and high value specialties pulp products within the larger more capable new Cellulose Fibers platform. In Europe, we acquired a top quartile mill asset in Madrid which we will convert later this year to light weight high performance recycled containerboard to support our European box business. And finally, we finalized the sale of our Asia Industrial Packaging converting business, further focusing on strengthening the IP portfolio. On the capital allocation front, our board of directors authorized 5% increase in IP’s annual dividend, moving it to $1.85 a share, in making at the fifth consecutive year of a dividend increase. While 2016 didn’t play out exactly how we had envisioned a year ago as we were sitting here talking about the year. I feel good about what we accomplished and how we executed in a pretty tough global environment. As we go through the call today and outlined where we are now and the key catalyst that we have for 2017. We have line of sight to grow our EBITDA this year by 10%. So on Slide 6, and turning to the full year financial results. Just talk a bit about a few of the metrics. The majority of the revenue decline, if you see on this slide, is attributable to the sales of the Sun JV and the Asia box business, as well as the sale of our Coated Bristols brand and that business. Lower earnings were primarily due to margin pressure across most of our businesses through most of 2016, along with escalating input costs in the latter portion of the year. We did see signs of strengthening in some of our key markets in the second half of the year, which enabled us to announce and implement a number of price increases across various businesses that will all benefit us in 2017. Debt levels were increased to 2016, primarily to fund the pulp acquisition. And as we’ve commented on previously, our priority in 2017 broking debt reduction. Moving to Slide 7, I’d be continued to strong and sustainable – strong trend for sustainable free cash flow in 2016. This gave us the horsepower to execute our strategy creating value for our shareholders. Moving to Slide 8, we also delivered another strong year of return on invested capital, solidly above our cost of capital. This is our second consecutive year within ROIC spread to our weighted average cost of capital more than 200 basis points, and seventh straight years of ROIC above our cost of capital. I’m going to now turn it over to Glenn, and ask him to cover the performance across our businesses, as well as provide an update on the balance sheet and our outlook. Glenn?
Glenn Landau: Thank you, Mark, and good morning everyone. It’s great to be here. Let me just begin by extending my sincere thanks and enormous congratulations to Carol Roberts, who is sitting here beside me as she used closure of this chapter of her professional life and [indiscernible]. And as I know I can speak to so many of you here in the room and across the company, as well as many on the line today, you have a made a different for International Paper have positively impacted so many of our senior leadership support. So Carol, all the best. Now, back to business. I’m on Slide 9, which is about full year operating EPS Bridge from 2015 to 2016. As Mark already shared year-over-year earnings were impacted by price erosion and weaker mix across many of our businesses this past year, driving a $0.70 unfavorable swing versus 2015 levels. Biggest movers were containerboard for export, global pulp and boxes in the North America, which decline modestly for the first three quarters of the year largely precipitated by the January 2015 index increase, all prior to our implementation of our October box price increases late in the fourth quarter. Volume of the net positive for the year, primarily function of improving North American box demand. Operation quite solid and improving performance across our mill system we’re drag on earning in the year have been impacted by several items including our Riegelwood fluff pulp conversion to ramp up, Hurricane Matthew and a significant non-cash LIFO inventory reevaluation associated with our October containerboard increase implementation. And while lower input costs were tailwind for much of the year driving a net positive, we saw meaningful shift in that trend over the last few months of 2016 as many inputs began to turn high we’ll get more into that later in the call as we speak to the outlook. So moving across the bridge, a lower effective tax rate and interest expense combined for a dime of improvement and Ilim contributed to the positive largely driven by FX. And lastly earnings associated with our acquisition of Weyerhaeuser’s pulp business in the month of December at $0.03 to the year. Now turning to Slide 10, International Paper delivered solid results in the fourth quarter supported by increasing box demand and higher prices of containerboard and boxes in our North American Industrial Packaging business. This all against the backdrop though of fallen pulp prices and rising input costs primarily OCC and energy. On the operations of cost front c,ontinued solid mill performance was unfavorably impacted by seasonality and where I mean by that is higher consumption of energy in raw materials associated with colder temperatures. As well as a handful of non-repeating items including the impact of Hurricane Matthew, our year-end LIFO inventory reevaluation, as I mentioned in the previous slide, and as well as higher expenses related medical claims in the quarter. All of which if you remember from our third quarter call, we’re expected in part of our outlook. Further, the Ilim JV delivered another strong quarter of results with operational EBITDA of $180 million. And strategically, we close the acquisition of Weyerhaeuser’s pulp business marking the beginning of our newly combined Global Cellulose Fibers business segment of which the integration is opt to a great start and we’re delighted to welcome 2,000 new colleagues to the IP team creating the preeminent Global Cellulose Fibers business in dynamic and growing space, the long runway of value creation so more to come on now. The quarter-over-quarter bridge on Slide 11, depicts what I just said, higher prices for containerboard and boxes in North America Industrial Packaging were offset by lower prices – lower pulp prices and IP’s legacy pulp business. And despite four fewer shipping days for North America box shipments, volume was flat sequentially due to a higher daily demand for boxes of 5% in the quarter, which was really meaningful. Operations and other costs were down $0.18 quarter-over-quarter, about a half of which was due to seasonality mainly higher energy consumption and the other half due to non-repeating items as I described on the previous slide. If this were a headwind and OCC continue to escalate as we expecting the quarter. Turning to the businesses, and starting with industrial packaging on Slide 12, initial benefits of the price increase were realized as expected in the quarter. Domestic containerboard increase was fully implemented up to the $40 index moved and North America box prices were up $4 per ton on average quarter-over-quarter. Volume was strong but higher containerboard exports and the better and expected daily box demand rate only partially offset the impact of four fewer shipping days though. In operations and other costs are largest business that the blunt of the previously mentioned non-repeating items and input costs were higher with OCC accounting for half of the total impact with an increasing trend driving a higher exit rate than average in the quarter. The next Slide on 13 is intended to provide some additional color on how we are thinking about 2017 full year benefits associated with the October 2016 domestic containerboard and price increase. Starting with the upper left hand portion of slide, you can see that IP has roughly 10 million tons that are within the scope of this announced increase. 9 million tons of U.S. integrated box business and about 1 million tons of domestic containerboard sales. So the simple math here, given the $40 expectation I referenced earlier, is about $400 million annualized. While we expect to realize $400 million in absolute terms, there are several factors to consider relative to the year-over-year earnings impact. Moving your attention to the graph on the top right, and factoring initial benefits we saw in the fourth quarter, year-over-year exit rate U.S. box prices remain below fourth quarter 2015 levels. As we report quarterly in the appendix, North American box prices on average are down $18 per ton versus the fourth quarter 2015. Largely due to the impacts related to the $15 per ton index reset in early 2015 and normal erosion we see prior to our October increase. So, roughly half of the expected increase benefit essentially goes to price restoration and, considering the rising OCC cost escalation trend, another material portion of the increase just covers this headwind. All that said, the increase execution is moving along smoothly and we expect full implementation by the end of the first quarter. Okay, now on Slide 14, I’d like to turn to our newly combined business, Global Cellulose Fibers, which beginning with this fourth quarter release will be reported on a standalone business segment. As you can see on the map the combined business has a solid fleet of mills strategically positioned across the southeast U.S. along with a couple of specialized processing facilities in Mississippi and Poland. In addition we have acquired a highly capable and competitive northern softwood craft mill in Alberta, Canada. So in total, IP’s Global Cellulose Fibers business has a combined 3.6 million tons of capacity for softwood and fluff pulp, as well as other specialties applications and is extremely well positioned to serve our global customers in these attractive and growing segments. Looking forward, given our current fixed utilization depicted in the pie chart in the top right, there are significant product mix upgrade opportunities to fluff and our specialty products, as well as installed incremental fluff capacity post our Riegelwood conversion to grow with our customers’ increasing demand. So, with this exciting combination, IP could not be better positioned to take advantage of this very attractive global markets. On Slide 15, just as some background, I’m taking a closer look at global fluff pulp markets, we have a nice mix of both established and higher growth emerging markets geographically and a wide range of products with different levels of maturity in the marketplace. So for example, North America and Western Europe continue to grow in line with expecting population trends while emerging markets like Asia, Latin America and the Middle East will drive most of the growth rate expected to be 4%. Primary applications for fluff pulp are spread between baby diapers, feminine hygiene and adult incontinence products and with our additional capabilities of the Weyerhaeuser system, we have the technical and human resources, as well as the manufacturing capacity, to drive innovation and product development in to other high value specialties in the pulp space that will provide further growth opportunities beyond those reflected here. Okay, turning to Slide 16, and taking a look at our pro forma results for the combined business, there was a significant reduction in earnings from 2015 to 2016. This was primarily due to two factors. One was the costs associated with the Riegelwood conversion and ramp-up in our Legacy business, which amounted to roughly $80 million in 2016. The other is price and mix erosion which was experienced evenly across both Legacy businesses as both softwood and fluff prices came under pressure in 2016. Further, IP saw the negative mix impact associated with Riegelwood capacity which ramped up our market softwood pulp in the second half of 2016 as we were working toward fluff qualification with our customers. So a negative mix effect there. The outlook for 2017 is a mix of both favorable and timing related unfavorable items with a slants to positive. To the upside we have expected demand growth, the synergy opportunities, and our recently announced price increases for softwood and fluff pulp products. But, clearly exit rate prices for 2016 were lower than average prices for the year and the large extended average in capital investment project underway at the Port Wentworth mill had a significant cost impact in the quarter. With that said, this large project to upgrade the recovery boiler, turbine and power system at the mill has attractive energy savings benefits and we’ll enjoy those, following completion, for years to come. On 17, back to the integration, you can see the synergy opportunity and associated timeline for realization of the newly combined businesses. There are three major buckets of synergies, overhead, commercial mix improvement, which are both fluff and specialty opportunities, and a large bucket of manufacturing, supply chain and sourcing opportunities that we will leverage. Looking at the chart on the right, you can see the expected ramp-up and run rate targets for year end 2017 and 2018. We expect a run rate of $100 million in synergies by the end of this year adding approximately $50 million to earnings for 2017. One-time costs will be treated as special items and are expected to be around $85 million of which about half were expense from December and the balance will be spread over this year and next, all will be treated as special items as I just said. Related to synergies, we know how to do this. We’ve done it before. The teams are off an running, have line of sight to the target and we’ll work hard to exceed expectations. Turning now to the consumer packaging business on Slide 18. We had a light quarter as we saw continued price pressure in elements of the folding carton segment and on plate stock along with seasonally lower volume. Operations were as expected, but costs were higher due to seasonality. Planned maintenance averages were also higher given the plan [indiscernible] average. Now moving to Printing Papers, Slide 19. As we said earlier, given the new Cellulose Fibers segment, reporting for paper beginning this quarter will no longer include pulp. In terms of results, price mix was impacted primarily by higher export sales out of North America. However we experienced good volume mainly due seasonally stronger volume in Brazil. Operations and costs were negatively impacted by a challenging operational quarter at a couple of our European mills, Hurricane Matthew in North America, and seasonably higher operating costs and higher medical claims in the quarter that I mentioned earlier. Planned maintenance outage expenses were higher in the quarter and we experienced some unfavorable FX impacts in Brazil due to the strengthening house. Now moving to Ilim on Slide 20, the JV had another strong quarter capped off what we consider a great year. All three mills set production records for both periods, the quarter and the year, and strong demand primarily in China led to higher sales volume in the fourth quarter with total volume up a little over 5% for the full year. Looking to the first quarter, JV expects modest pulp price improvement to be more than offset by normal seasonality, resulting in lower sales volume and higher input costs primarily wood. Additionally, the board of directors at the JV has authorized a cash dividend to be distributed in March of which IP will receive $100 million. Moving to the balance sheet on Slide 21, IP experienced a step up in leverage ratios in 2016 as you can see, primarily due to increased debt taken to facilitate the pulp business acquisition but also impacted lower EBITDA performance. Our pension gap decreased by $200 million as we made voluntary contributions totaling $750 million in the year, some of which was offset by a 30 basis point decline in discount rate by the end of the year. However, the discount rate did improve significantly in the fourth quarter as we exited the year versus prior quarter trend, so really better than it could have been. The additional debt taken on this year largely to fund the acquisition, was done [indiscernible] tranches at an average interest rate of 0.7%. Our plan as we work to pay down debt to restore leverage ratios in line with our target within the next two years will be to take out new debt. Okay, matrix and before I speak to the specifics regarding outlook for the first quarter, I’d note that given the evolving situation at Pensacola, our matrix does not reflect any of the impacts associated with the mill interruption but I will speak more to that following this slide. So back on Slide 22, starting with price and specifically we expect to see significant benefits from implementation of the North America price increase in both domestic containerboard and U.S. box in the range of about $70 million. For volume, additional shipping days in North America will be largely offset by a lower daily shipping rate and we expect earnings from the additional volume from the first full quarter of the acquisition in Cellulose Fibers to also be offset by normal seasonal decline in Brazil, so net-net, flattish in this volume bucket. Within operations and costs, the non-repeats of the impact from the one-off items from the fourth quarter, remember the hurricane, LIFO, and medical claims, are expected to be a benefit of $30 million for packaging and $20 million for papers in the coming quarter. So the red that jumps off the page are our plans – our underlined plans, maintenance outage expenses in the quarter, which would be $102 million higher sequentially, so really just timing along with the addition of outages associated with our expanded Cellulose Fibers business. Input costs are expected to increase primarily across North American operations by $40 million versus the fourth quarter driven largely by OCC and natural gas. And finally, relative of a couple of the items in the other categories, we’re expecting a higher tax rate in Q1 around 33%, so back to a more normalized level. And results at the Ilim JV are expected to be lower primarily due to seasonally lower volume and seasonally higher input costs. So, turning to Slide 23, let me provide a brief update on the Pensacola mills digester incident which occurred on the evening of Sunday, January 22, and for those of you not familiar with the digester, it’s a large pressurized vessel that cooks wood chips, turning wood chips in to un-bleached Cellulose Fiber. And relative to this incident, the vessel – the digester vessel failed, causing separation of its top and associated damage to the adjacent powerhouse due to flying debris. At the instant of the failure, the pressurized content within the digester, primarily raw pulp, water, and pulping mister, were released to the surrounding areas. Thankfully not a single person at the mill was injured. And of course, our immediate response was to ensure the health and safety of our employees, contractors, and neighbors, in and around the site. We accomplished this and shortly after, the following day, a unified command was formed including representatives from the Escambia County Health Department, the Florida Department Environmental Protection, the U.S. Environmental Protection Agency, as well as International Paper. The unified command took full control and led the development and execution of plans to clean the impacted areas and to address community concerns. At this point, we have already made significant progress on the cleanup and will not stop until the area is restored. In terms of our progress towards bringing the mill back to an a operating state, earlier this week we restarted the powerhouse and resumed partial operations of the pulp line, which is supported by a different set of smaller batch digesters. Today we continue to ramp up production of fluff pulp and expect to be fully online by the weekend. Relative to containerboard though, repairing the damage continuous digester will take some time. And while we’re working toward a firm estimate, what we do know now is that startup will not take place in the first quarter. So, we’ll continue to use our extensive containerboard mill network to meet customer needs over the next several weeks. As you can appreciate, just 10 days post the incident, it is difficult to estimate the full financial impact, as well as the timeline associated with this situation. With that said, we know there will be major costs incurred. In this quarter and beyond and at this point we expect the total impact to be in excess of $50 million. This will not be a special item. But we do have property damage and business interruption insurance that we expect will cover a significant portion of the costs. Relative to our insurance, we will have a deductible up to $20 million which you can say, essentially, that’s a cap on our exposure. With that said, timing of the insurance recovery will be uneven and there will likely be some lag associated with getting our claims covered. Net-net we see this all trued up by year end. Finally, the changer digester, which was the primary equipment impacted, is fully depreciated so no write-off will come with at least this primary piece of equipment. So, given the evolving nature of the situation, we commit and plan to provide a more specific estimate of timing and costs publicly before the end of the quarter, so more to come on this. Lastly on Slide 24, here we have some of the key financial metrics we normally provide to build a picture of our planning assumptions for 2017. CapEx will be higher at around $1.5 billion which includes the expanded Cellulose Fibers business, approximately $100 million of the delta, as well as the mill conversion in Madrid. We expect 2017 depreciation also to be up to roughly $1.4 billion including $140 million of depreciation carried over from the recently acquired pulp assets. Interest expense is impacted by our hard debt profile and corporate items and our effective tax rate will stay within normalized levels into 2017 based on what we know today. Also given the escalating input cost backdrop, we have included our current view relative to this impact year-over-year in the range of about $180 million to $200 million higher in 2017. And as this item we see this as directional only as we note that there’s more likely incremental risk as many of these items are already looking to be pushing the upper end of the range. So with that, I will turn it back over to Mark.
Mark Sutton: Thanks, Glenn. What I’d like to do on the last slide of our prepared remarks is wrap up with our focus for 2017. We expect, as I mentioned earlier, to continue the trend of strong cash generation and returns above our cost of capital. And as I mentioned in my opening remarks, given what we know today and the catalyst we have in play, we have line of sight to grow full year EBITDA by 10%. We have great opportunity to integrate our newly acquired pulp business, drive synergies and improve our overall mix. The acquisition brings us great people, best in class assets, and second to none capabilities. Together with IP’s business, we’ll create significant value for our customers and shareholders over time. We expect higher earnings in our North American Industrial Packaging business, due to benefits from the previously announced price increase, growing demand from our customers, and our own internal improvement initiatives. We also expect to improve margins with continued strong operations and extensive cost reduction efforts across many of our other businesses. Everything is on track for our planned conversion of the Madrid mill in the second half of the year, which will enable a better offering for our customers and earnings improvement for our European Industrial Packaging business. The Ilim JV is well positioned for another strong year of performance. And with the strong free cash flow that comes from all of this, we’ll continue to allocate capital to create value with a near-term focus on debt reduction. I feel good about how International Paper’s positioned and the opportunities we have in front of us that we’re working on. And with that, like to open it up for questions.
Operator: Thank you. The floor is now open for your questions. [Operator Instructions] Our first question comes from the line of Anthony Pettinari with Citi.
Anthony Pettinari: Good morning and best wishes to Carol and Glenn in your transitions. In terms of box shipments I was wondering if you’d give us color on how those trended in the first weeks of January, and then given the outage in Pensacola, I was wondering if you could talk about how comfortable you are with your inventory levels? And if you could give any additional color on what steps you’re taking in your system to meet customer needs.
Tim Nicholls: Hi, Anthony. It’s Tim. On box shipments, January was pretty strong for us. We don’t have final numbers just yet, but absolute we think will be somewhere between 4% and 5% and roughly flat on the daily. So everything that we saw in the fourth quarter kind of continued over into January. In terms of Pensacola, obviously, first of all, we’re fortunate that we’ve got such a great team and we’ve got such a really good manufacturing system for containerboards. So we’ve got one mill down. Our inventories, I think, we had told you in the fourth quarter, were tight and we’re already managing a very complicated supply chain. Having said that, we’ve got tremendous flexibility in the system we have. And so we’re looking at all our options as to how we accommodate the capacity that we need and make sure we keep our customers with product. I don’t think that’s going to be a problem in the first quarter. So, we’re lean and we’re running hard but I think we’ve got a lot of options around the other 15 mills in the United States to make sure that we’re meeting all of our commitments.
Anthony Pettinari: Okay. That’s helpful. And then regarding the first quarter outlook for Cellulose Fibers, you’ve got a headwind from higher outages and some higher costs but you’ve got also the Weyerhaeuser acquisition and price hikes and synergies. I guess my question is, would you expect that business to be profitable in the first quarter or maybe closer to break even following the loss in 4Q?
Jean-Michel Ribiéras:
– :
Anthony Pettinari: Okay. That’s helpful. I’ll turn it over.
Operator: Our next question comes from the line of Mark Wilde of BMO.
Mark Wilde: Good morning. First question is just, if you look at where you stand at the end of the first quarter, from a price cost standpoint in the containerboard business, the benefit of the autumn hike and then the increase and kind of costs that we’ve seen over the last six to nine months, are you going to be ahead or behind where you were, say, last spring?
Tim Nicholls: Hey Mark, it’s Tim. We’ll be behind from a margin standpoint, I think price increase, as we exit the first quarter, will probably have 85% to 90% of the price increase implemented and we expect a full realization, the offset obviously is the pressure that we’ve seen with input cost.
Mark Wilde: Okay. All right and then as a follow up, I just have a trade question. I just noticed that Brazil has raised its import duties on fluff pulp from 4% to 14%. It looks to me like this is an attempt to allow [indiscernible] in the kind of ramp up its new fluff pulp mill and enter the fluff market. And I just wonder from kind of a trade standpoint, is there anything you can do about this? You’re the biggest pulp producer in the world and it seems like the government down there is just trying to help kind of the Brazilian producers enter this market, by kind of providing them a closed market for a little while with this tariff.
Jean-Michel Ribiéras:
–:
Mark Wilde: Yes, I guess, my point is just – you’ve tied a lot of capital up in the fluff pulp business and this is pretty clearly an attempt kind of prime the pump for some new entrance.
Jean-Michel Ribiéras: For us it’s not a big market in top of that in Latin America. So, just specifically if you asked us to -- we’re not expecting a big impact on the [indiscernible] So I understand on the context. But on the reality of the numbers, it’s [indiscernible] a very, very small impact.
Mark Wilde: Okay, great. I’ll turn it over.
Operator: Our next question comes from the line of Mark Weintraub of Buckingham Research.
Mark Weintraub: Thank you. I just wanted to follow up to make sure I understood, Tim, your comment that margins would be lower at the end of the quarter, going out of this quarter, than they had been last spring. That puzzled me a little bit. Maybe you could just clarify. I assume what you were talking was that the impact of the prices falling at the beginning of last year, combined with the cost inflation would offset or outweigh this single-pipe increase. I just wanted to make sure I understood what you’re saying.
Tim Nicholls: Yes, I think that is right, Mark. Looking at it year-over-year you remember the price was published down in January. But that had a bit of a delay as it rolled in based on contracts. There’s a lot of contracts that get impacted, and then we had more favorable input cost in the first part of last year than certainly we had at the end of last year and that’s continued into the first quarter of this year.
Mark Weintraub: Okay. On Pensacola, just one clarification, too. Does the $50 million number you threw out there and for that matter of the way business insurance coverage would work. On the opportunity cost of tonnage that didn’t get produce that you were making money on. Is that included in that 50 million and how would that get treated by insurance if at all?
Glenn Landau: Again that that $50 million is an estimate and that’s a greater than $50 million, but to your question, Mark, this is Glenn, yes, business interruption, lost sales, mix, freight all those factors would be covered by insurance after the deductible.
Mark Weintraub: Okay, great, thank you.
Operator: Our next question comes from the line of Philip Ng of Jefferies.
Philip Ng: Hey, guys. First off congrats Carol and Glenn in your new role and Carol it’s been a pleasure working with you. My first question was really around your 10% EBITDA growth target mark. Was that off of a pro forma base on an apples to apple bases with Weyerhaeuser acquisition and does that account for the impact from Pensacola?
Mark Sutton: Philip, hi. The 10% comment is including Weyerhaeuser, so that’s one of the catalysts that I mentioned. And then the improvement in the rest of the company, those two put together, we have line of sight. I haven’t factored in a big piece of Pensacola based on Glenn’s comment on what we think it might end up being net, net given the insurance and all of that. But no, it was pre Pensacola and it included Weyerhaeuser.
Philip Ng: But just to be clear, the 10% base, 2017 versus 2016, does the 2016 number include Weyerhaeuser on a pro forma basis, or is that just…
Mark Sutton: No, it’s from an actual – closed on the deal in December so we didn’t have any Weyerhaeuser number in our 2016 results. So, it includes Weyerhaeuser going forward.
Philip Ng: Okay, that’s helpful. And then, I guess, on your consumer packaging business, I guess, there’s been some continued pricing pressure on the folding carton side of things. Can you talk about that dynamic, how you’re thinking about pricing going forward and are you starting to see that stabilize in light of potentially some concerns from imports on the FPB site? Thanks guys.
Cathy Slater: Hi, this is Catherine Slater. Clearly we’re monitoring but this is the first year we actually have seen any meaningful decline in our ability to export, but overall with the changes we’ve made internally with Riegelwood, we’re very pleased with the mix we have and feel like we’re very well positioned with our current footprint. And our focus will be really on what we can control which is operating wells, managing our costs and also meeting our customers expectation.
Operator: [Operator Instructions] Our next question comes from the line of George Staphos of Bank of America Merrill Lynch.
George Staphos: Hi, everyone. Thanks for taking my question and again best wishes to Glenn and Carol. Again, thankfully that no one was injured at Pensacola, but I wanted to ask some questions around that or a question around that. Can you talk about at this juncture what the lead times would be required to restore the continuous digester back to its pre incident state? And do you expect that on an interim basis you might be able to use some of the batch digesters that you use on the fluff line to produce Containerboard? And then the related question would be, Tim, I think in answering one of the other questions, I forget who asked it, you said you should be able to fulfill customers’ needs on products through the first quarter. Did that suggest that as the year progresses, if you maintain this level of progress as we get in to seasonally higher periods that you might have more challenges with that? I just want a little bit clarity on those two things. Thank you, guys.
Mark Sutton: Sure, first on the first part, you know, what Glenn covered earlier is really the estimate we have at the moment. We’re pretty well convinced that we will not be starting back up in the first quarter, so the start up will fall outside. We’ve got more work to do only being 10 or so days in to it.
George Staphos: Sure.
Tim Nicholls: Now, we feel comfortable with our exact estimate, but I think as we go through the quarter, we’ll know that and we’ll be able to update everyone accordingly when it happens. And to your question on batch, it’s not our plan. Our focus is getting the continuous digester back up and getting the line back up the way it’s configured to run. In terms of customers, you’re right. I don’t think we have any expectations at this point in customers in the first quarter. A little hard not knowing exactly the estimate as we go out in to the second quarter, but at the moment I think we’ll be okay. We’ve got any number of options in terms of how we can manage the system and we’re exploring all of those and starting to put plans in place. So I’m pretty confident the team is going to respond very well and I think we will be in good shape. And if anything were to change in a material way of course we would update.
George Staphos: Tim, I appreciate that. If I could just ask a quick follow-on just for clarity, I mean, lead times on some of this equipment can’t be three months, right, I mean, some of this would likely take a couple of quarters. Is that an inaccurate statement? Again, any color you can provide would be helpful. Thank you, guys. Good luck in the quarter.
Tim Nicholls: Yeah, I’d just say for, I think the extent of the damage we have and those pieces of equipment I can’t tell you when it will happen. I know it won’t happen this quarter, but we don’t have any indication that it’s going to be in the second half of the year that we’re still working on this. I think we’ve got the ability to replace the equipment that was damaged in a shorter timeframe.
George Staphos: Understood; thank you guys.
Operator: Our next question comes from the line of Gail Glazerman of Roe Equity Research.
Gail Glazerman: Hi, good morning. Just going to ask – can you give some perspective on OCC, what you think has been driving it and are you seeing any signs of leveling off or stabilization?
Tim Nicholls: Hey, Gail, it’s Tim. Yeah, I mean, it’s a little bit difficult to know. I think some of the things you’d look to be the usual suspects. China demand has been stronger. We do know that during the course of the last year, there were some disruptions in Chinese internal OCC recovery because of floods and production issues and other things. So, here in the U.S., generation, [indiscernible] the issue and I know people have mentioned the impact of e-commerce and supply chain seeming more fragmented in terms of box collection recovery. I think the big question though, not knowing exactly where it will go as we leave the first quarter and go in to the second. The big question in my mind centers around China and how close they might be to practical recovery limits of internal OCC to the country. And if they are starting to bump up against that, then their OCC demand will have to be filled from other parts of the world.
Gail Glazerman: Okay, and just are you seeing it in the short-term? I think there have been some reports that China prices are kind of leveling off. Is that translating in to the U.S.?
Tim Nicholls: Well, we haven’t seen anything as such. And you have to keep in mind, Chinese New Year and the impact. I don’t think we’ll know. There was fairly heavy buying, ahead of trends, and you’ll have to see what happens when they come out of the holiday and machine starts starting up again.
Gail Glazerman: Okay. And can you give us some broader perspective on demand; obviously you’re seeing fourth quarter trends carry in to the first quarter but some broader perspective on what you’re expecting in boxes for 2017? And maybe specifically touch on what you might be thinking about for California Ag in the short-term and medium-term just given all the weather out there?
Glenn Landau: Yeah, this is Glenn Landau. Certainly, the rain has helped. There were some pretty easy comps though. So you have to keep that in mind, but we saw a strong performance in our agricultural segment in the fourth quarter. No reason to believe that it won’t be strong in 2017. Just from a segment standpoint, we also saw process foods recovering. Our fourth quarter was pretty good on that front. Protein, which after coming of a couple years of issued that various segments approaching were working through. We saw the beginnings of recovery there as well. And so we’re in the midst of updating models for 2017. I think everything we’ve seen so far were still kind of in the 1%, 1.5% range and really haven’t seen anything that would make us think it’s going to be less than that.
Gail Glazerman: Okay, thank you.
Operator: Our next question comes from the line of Steve Chercover of D.A. Davidson.
Steve Chercover: Thanks, good morning and congratulations everyone. First of all on Pensacola, we understand that Containerboard is offline for the first quarter, but given the margins are better in the Containerboard. Could you run the machine slow motion with the batch digesters in the long run or is it just too much of a mismatch in machine size?
Tim Nicholls: Well, I’m not technical expert, but I think there’d be a lot of plumbing and rerouting of things. I don’t think it’s the most efficient thing for us to do. The best thing for us to do is focus on getting the fluff line up and running. We have commitments to customers that Jean-Michel could talk about, so we’re going to work on that as priority and then get the continuous digester up and running as efficiently and quickly as possible.
Steve Chercover: Got it. And just my quick follow-up, we know you’re about a third of the overall domestic Containerboard market. If I recall, you’re about 50% of the Amazon’s supply. So can you just give us a little update on just how quickly e-commerce is growing versus traditional box?
Tim Nicholls: Yeah, I don’t want to comment on any specific customer. We service a broad range of online and distribution customers in the space. It’s growing rapidly. I would say fourth quarter I think we’re up over 10% just e-commerce distribution combined and we expect that term to continue.
Steve Chercover: Great, thank you, Tim.
Tim Nicholls: Sure.
Operator: Our next question comes from the line of Mark Connelly with CLSA.
Mark Connelly: Thank you. A while back we heard a lot about the changes of postal ridge to take in to account volume. Can you tell us how that’s playing out now that you’ve been through a holiday season and whether you think it’s going to continue to shift a lot? We’re not seeing it in my house as my boxes are all coming in and they’re mostly air.
Mark Sutton: Mark, hi. This is Mark Sutton. We have not seen big impact. I think part of the calculus on that is the total cost of the delivery and the need – some of the online shippers to value propositions as we’ll get it you quickly and there is always a trade off on labor cost and supply cost versus a little bit of waste in the box and the volume pricing. So I think markets tend to find an efficient solution and obviously I think in the future, we will have less air in the boxes, but I believe right now its trade off of postage and all the other cost it takes to pick and pack and ship and get it to customers right away. But I think any time we’ve seen inefficiencies over time in a product or supply chain, you tend to sort them out. And we work on that all the time proactively.
Mark Connelly: That’s super helpful. And just one quick question, you mentioned the pick up in volumes in your Brazilian white paper business. I wonder if you could give us a little bit more of a sense of local demand and the supply demand balance down there.
Glenn Landau: Hey, Mark, this is Glenn. Yes, the fourth quarter is seasonally the strongest quarter for Brazilian paper. What happens there is essentially that’s the build for the new school year that starts in the southern hemisphere and essentially in late January after Carnival. So, it’s a build for that demand pull. Net, net though it was just seasonal demand while we saw some signs of growth in the third quarter, this is going to be a slow recovery in Brazil. We’re not seeing or feeling incremental demand associated with recovery at this point and I think that applies as well to packaging. So at this point in time steady, not going backwards, but no real economic driven demand growth.
Mark Connelly: Very helpful, thank you.
Operator: Our next question comes from the line of Brian Maguire of Goldman Sachs.
Brian Maguire: Hi, good morning. Thanks for taking my question. Mark, on the comment about a line of sight to 10% EBITDA growth, would you say that’s the bottom end of the range of expectations you have for 2017 and if so you know what things could maybe go right that isn’t in that 10% number that could drive it a little bit higher?
Mark Sutton: Yeah, I wouldn’t think about it as the bottom end of the range. I think it is a reasonably good line of sight to what we know now based on what we have in our economic projections what we see coming out of 2017 which has been discussed a little bit, rising Containerboard and box prices still very strong robust demand, catalyst for the Weyerhaeuser acquisition and our own internal target for improvement that aren’t always commercially related. So, I would say it’s more of a – as we sit here on February 2nd with a reasonable set of outlook assumption, it seems like something we have line of sight too. So maybe that’s a long-winded way of saying it’s a mid case but I think we feel pretty good about being able to do that, again given some of the specific catalysts we have.
Brian Maguire: Okay, I appreciate the color there. Just as a follow up, just on Slide 16, you talk about some of the pro forma change in the cellulose fibers, EBITDA. We don’t have the walk like we do with some of the other segments on the EBIT there, but – so I was hoping you could shed some light into what drove the decline there and kind of related to that when you acquired the Waco Weyerhaeuser pulp business. You mentioned about $350 million of EBITDA, obviously it’s lower at this point, but could you give maybe an updated forecast on where that stands recognizing, of course, you’ll get the $175 million of synergies on top of that, but maybe just kind of an update on where that business is now. Thanks.
Jean-Michel Ribiéras: Hi, this is Jean-Michel looking up on the Global Cellulose Fibers. Let me say that 2016 for books legacy and Weyerhaeuser was a year [indiscernible] especially from the end of 2015 that’s starting to impact the contractor on the year. So that had a big impact on the result of 2016 and probably the starting point of 2017. And then we had an $18 million as you know as Riegelwood starter, so that impacted 2016. How do we see 2017? We see a good demand so far. I would say even stronger than we expected. We are seeing a strong ramp-up of the synergies. So if you take off the 350, which was the target of roughly what we had combined business, we are a little bit above that on a normal cycle I’d say plus synergies. So if we take an outlook of the combined business before synergies and more on what I call a normal price environment, we are in the 350 to 400 to which I will have the synergies. So I know we have the – but we feel very comfortable we are going to get there.
Brian Maguire: Okay, thanks very much.
Operator: Our next question comes from the line of Chris Manuel of Wells Fargo Securities.
Chris Manuel: Good morning, gentlemen, and congratulations to Carol and welcome Glenn. Just if I could follow up a second on the last question, just to get up – not trying to pin you to forecast or things of that nature, but if I kind of think of where the run rate should be for the cellulose fluff pulp business, when we think of coming out of 2018 or in to 2019, starting with your 350- ish base and what you had in your existing business and synergies, something with kind of a 600-plus of EBITDA, is that still a reasonable target to think of?
Glenn Landau: Yes, it is. That’s our target actually.
Chris Manuel: Okay, that’s very helpful. With regard to Pensacola, I kind of thinking about the mix and what you have down there that was a place where you were making some board and some fluff as it said. Having the incident, does that potentially make you to rethink what the long-term opportunity or right product to make out of that facility is?
Tim Nicholls: No, this is Tim. I think we like what we have especially on the Containerboard side, the fluff pulp operation figure as well.
Chris Manuel: Okay, that’s helpful. Thank you, guys.
Operator: Ladies and gentlemen, we’ve reached the allotted time for questions. We do have time for one final question. It will come from the line of Chip Dillon of Vertical Research.
Chip Dillon: Great. Thank you and best of luck to you Carol, and good luck Glenn; good to hear your voice again. Question I had was looking at the consumer packaging business, which is I know have been kind of gradually eroding for a number of years and it’s a very competitive business. Away from you, there’s been more and more consolidation. And I didn’t know what you thought about that, especially the last move might actually affect some of your cons given that I don’t think you do much converting. And so could you just talk a little bit about how you see the strategic importance of that business and should there be any change?
Cathy Slater: Chip, hi. This is Cathy. I’d say that yes there is clearly been actions that we’ve taken ourselves looking at what the future would look like with the change at Riegelwood, but not sure how much you’re aware of that. We do actually supply a lot of our own packaging material into foodservice and we see a good customer support for that business with some really major customers. And with our other product line that leads Texarkana and Augusta facility; those are some areas that we are continuing to work to find good high volume homes for that. But at this point, like I said earlier, our focus with the change in footprint is on making sure that supply chain is healthy and able to meet the customers’ needs in a safe and a way to add value back to IP.
Chip Dillon: I see. I meant not converting cups. And then this last quick follow up, Glenn, do you expect to need to make, if interest rates stay where they are, would you expect to need to make another pension or would it be desirable to make another pension contribution this year or next?
Glenn Landau: Well, Chip, as you know, we’ll keep all our options open, but we do not have any required pension contributions in either one of the years you’ve referenced, but not this year or next.
Chip Dillon: I see. Thank you.
Operator: Ladies and gentlemen, that was our final question. I will now turn the floor back over to Jay Royalty for any additional or closing remarks.
Jay Royalty: So, thanks, everyone. That wraps up today’s call. I appreciate you joining us this morning. And as always, Michelle and I will be available after the call to answer additional questions. Our phone numbers are on Slide 26. And with that, have a great and safe day.
Operator: Thank you, ladies and gentlemen. This does conclude International Paper’s fourth quarter and full year 2016 earnings conference call. You may now disconnect.